Operator: Greetings, and welcome to the Freshpet Fourth Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Jeff Sonnek with ICR. Thank you. You may begin.
Jeff Sonnek: Thank you. Good morning, and welcome to Freshpet's fourth quarter 2022 earnings call and webcast. On today's call are Billy Cyr, Chief Executive Officer; and Todd Cunfer, Chief Financial Officer. Scott Morris, the company's Chief Operating Officer, will also be available for Q&A. Before we begin, please remember that during the course of this call, management may make forward-looking statements within the meaning of the federal securities laws. These statements are based on management's current expectations and beliefs and involve risks and uncertainties that could cause actual results to differ materially from those described in these forward-looking statements. Please refer to the company's annual report on Form 10-K filed with the SEC and the company's press release issued today for a detailed discussion of the risks that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. Please note that on today's call, management will refer to certain non-GAAP financial measures such as EBITDA and adjusted EBITDA, among others. While the company believes these non-GAAP financial measures provide useful information for investors, the presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Please refer to today's press release for how management defines such non-GAAP financial measures, a reconciliation of the non-GAAP financial measures to the most comparable prepared in accordance with GAAP, and limitations associated with such non-GAAP measures. Finally, as previously disclosed, during our second quarter, the company is no longer adding back plant start-up and launch expenses in this definition of adjusted EBITDA. The company has provided those costs in the table at the end of the press release to assist in your analysis of the results under both methodologies. Additionally, the company has produced a presentation that contains many of the key metrics that will be discussed on this call. That presentation can be found on the company's investor website. Management's commentary will not specifically walk through the presentation on the call, but rather it's a summary of the results and guidance they will discuss today. Additionally, we'd ask that your questions remain focused on the performance of the business and the results in the quarter. Management will not discuss or speculate on other topics beyond what is being reported here today. With that, I'd now like to turn the call over to Billy Cyr, Chief Executive Officer.
Billy Cyr: Thank you, Jeff, and good morning, everyone. The message I would like you to take away from today's call is that our house is getting back in order after the stumbles we had earlier in 2022. It is not perfect and it will take some time for us to get all the systems and processes, working the way we want them to. But the actions we have taken since our early September announcement of organizational changes and a renewed focus on our key costs are beginning to show their potential impact. A few of the highlights are, first, strong net sales growth. We delivered 43% growth in the fourth quarter. This is the strongest quarterly net sales growth since the company went public in 2014. We finished 2022 with 40% growth for the year, our sixth consecutive year of accelerating growth and also our strongest net sales growth since we went public 8 years ago. Second, adjusted EBITDA ahead of guidance. We delivered $20.1 million for fiscal year '22, well ahead of our guidance of greater than $15 million. This was due to a wide range of operational improvements in Q4, including better production that enabled higher revenues, improved costs in manufacturing and logistics and lower start-up costs in Ennis. Third, improved logistics performance. By the end of the quarter, we were consistently shipping customers with a fill rate in excess of 90%, and that benefit flowed through our P&L. Logistics costs dropping to 9.4% of net sales in Q4 from 12.2% in Q3. Our in-stock position is now at pre-pandemic levels for the first time and improving by the day. Our fill rates are the best we've had since 2019, and customers are noticing it and adding purchase [ph] at an aggressive pace. Fourth, improved quality. The levels of secondary processing and disposals dropped considerably as we progressed through the quarter due to strong operational improvements that we believe are the result of the investment we have made in training and retention of our workforce via the Freshpet Academy. It typically takes a quarter for quality improvements to flow through to the bottom line. So we are quite pleased to see the rapid sequential improvement in Q4 where we realized a 24% drop in the rate of quality costs as a percent of net sales versus Q3, and the momentum has continued into Q1 of 2023 as well. Fifth, more effective balance between commodities and pricing. Input costs as a percent of net sales improved versus Q3 2022 due to the September price increase, coming in at 33.6% versus 34.7% in Q3, an average of 35.9% for the first 9 months. Sixth, we have rebalanced our capacity expansion plan to drive better capital spending discipline and match our anticipated growth. As we indicated at CAGNY last week, we adjusted our capacity plan to reduce capital spending between 2022 and 2023 by $50 million, and we'll still have adequate capacity to support our planned growth with some headroom. Seventh, the Ennis start-up is going very well. Our start-up expenses came in a bit lower than we had projected because the Ennis is going very well and is ahead of schedule. We are now producing virtually the entire range of roles and at volumes that are in excess of our previous projections. This allowed us to switch shipments to the State of California to come from the Dallas DC in mid-January ahead of our schedule. We are also ahead of schedule on the start-up of the bag line in Ennis and expect to be shipping a wide variety of SKUs from that line in Q2. We attribute this performance to the investment in training we made prior to start-up and also to the realignment of our engineering resources into a single group as part of the organization changes we made in September. We believe these improvements position us well for 2023. We are starting the year with well stocked fridges, healthy inventories and experienced and well-trained production staff, a robust line-up of new product innovations, strong customer commitments for incremental fridges, outstanding advertising on the air and pricing in the market that more closely matches our input costs. It will take some time for all those improvements to align and drive the resultant margin enhancement that we expect, but the early indicators are encouraging. Our plan for 2023 is a logical extension of the updated fresh future 5-year long-term guidance we outlined last week at CAGNY. We continue to believe Freshpet is going to change the way people nurse their pets forever. And that will lead to more rapid increases in household penetration this year than we had last year. Buying rate will continue to grow at a strong rate, due in part to higher pricing and consumers continuing to increase the value and quantity of Freshpet items that they buy. That will support strong net sales growth, but at a more measured pace that will allow us to address the margin improvement initiatives that are underway. So with that context, we are initiating 2023 guidance that is in line with our updated long-term growth plan, which equates to revenue of approximately $750 million, which would result in growth of about 26%. In setting that target, we are mindful that we are only getting 8.5 points of pricing growth this year versus the 15 points we got last year. We also consider that there is no more trade inventory refill needed and we are lapping a year that had significant trade inventory refill. While it is hard to put a precise number on the trade inventory refill that happened last year, is likely that it was somewhere in the range of $15 million to $20 million. Finally, we believe we are facing potential recessionary headwinds at a time when we have also taken another price increase. We expect that there will be some impact from that on our unit movement and growth rate. Counterbalancing those headwinds are the significant increases in new fridges, a strong investment in media and some of the best new products we've launched in a long time and we will do that in an environment where we are not capacity constrained. We have more-than-enough installed capacity such that we can add staffing on about 90 days' notice, if necessary, to meet higher demand. From an operations perspective, we are expecting to see continued improvement in all areas of our operation, but some of them will take a bit of time, and some of them will have transitions that add expense before we actually see the cost benefits. For example, we now have more demand than we could supply from the Bethlehem Kitchens and Kitchen South, but not enough to fill both of them in the new lines at Ennis. For perspective, the first two lines in Ennis is fully staffed, would add almost $250 million in capacity, while our guidance implies net sales will grow by about $155 million this year. In other words, while we are adjusting staffing to match the demand, we will be carrying the incremental overhead cost of the new Ennis Kitchen while we grow into our new capacity and achieve higher levels of net sales. Further, we will be shipping bags of product from PA to the Dallas DC during Q1 and Q2 of this year that should support shipments in Texas and the West Coast until the bag line in Ennis is fully capable of producing the wide array of bags we sell. Those incremental shipping and handling costs are transitory, but will impact us until we have balanced roll and bag production in Ennis. You should also see steady progress on adjusted gross margin and adjusted EBITDA margin as we move through the year. And by the end of the year, you should expect to see the fruits of those efforts in the form of much improved capacity utilization and lower freight costs. Furthermore, when measured on an annual basis for the full year 2023, we expect our results will be significantly better than last year's on several KPIs, including adjusted gross margin, freight as a percent of sales and adjusted EBITDA margin. Todd will take you through the details. All these improvements are enabled by the increasing strength of our operations team and our renewed focus on improving margins. While we still expect to make one or two additions to our operations team, the team we have is operating at a much higher level, and our entire leadership team is relentlessly focused on the leading indicators of performance and have developed action plans to drive the improvements we've outlined in our 2027 goals. As previously indicated, we have implemented a 5% price increase, effective with the orders beginning on February 6th, '23. At this time, we believe that the price that we've taken adequately covers the known input and energy cost inflation we have seen. We've locked pricing and inputs that account for greater than 75% of our costs so far, and we'll continue to add to our supply agreements as the year goes along. Due to the timing of our price increase being implemented six weeks into the start of the first quarter, we anticipate that we will have a small price cost mismatch. But on a relative basis to our experience last year, we see this as a much, much more manageable. Our advertising plan for the year is, like in most previous years, front-loaded. We have greater than 60% of the spending planned for the first half of the year and have been on air since the beginning of January. We expect this to reaccelerate our household penetration gains, taking them from the 16% we had in 2022 to the low to mid-20s by the end of 2023. We are expecting record support from our customers in 2023. At the end of 2022, we had about 1.5 million cubic feet of fridge space at retail, and we expect that to grow to more than 1.7 million cubic feet by the end of 2023. That represents approximately 1,200 net new stores, the addition of 3,000 second and third fridges and fridge upgrades in approximately 1,000 stores. This is a terrific endorsement of Freshpet's value to our retail partners. We believe this will amplify our advertising investment, providing added visibility that reinforces our brand's distinctive offering. In total, we believe we have all the necessary building blocks in place to generate consistent long-term growth that is appropriately geared so that we can also achieve our margin improvement goals. We will be able to fully support this growth from our existing kitchens in Bethlehem, three lines in Kitchen South and the first two lines in Ennis with room to spare. As you heard at CAGNY, we have modified our capital spending plan to better match the rate of sales growth we are expecting and can reliably support. We will continue construction and installation of the next two lines in Ennis so that they are ready to go in 2024 and 2025 when they are likely needed to support the next leg of our growth. Each step of the way, we are carefully assessing the latest view of demand against our available capacity so that we keep these two important variables align. This will help us control expenses while maximizing our opportunity to drive profitable sales growth. I want to be clear, however, that our long-term economics and the plan for 2023 assume that we will always have some amount of capacity in excess of our planned net sales because capacity comes on in chunks, its form [ph] specific, i.e., roles or bags and start-ups can be challenging. So we want to be sure that we don't get caught without enough capacity as we did for the past 3 years. Before I turn it over to Todd, I would like to share one additional thought. I am a big fan of identifying key metrics in our business that are leading indicators of performance. That is how we arrived at the intense focus we have on household penetration as the prime indicator of our net sales potential instead of store count in 2017. That has proven to be a very reliable indicator of our growth and upside potential, and it has also driven the right kinds of investment choices that have resulted in six consecutive years of accelerating growth. When it came to improving our operations, we struggled to find that critical leading indicator. There are still many that seems to be good indicators of parts of our operations but nothing that could be harbinger [ph] a broad based operations improvement. But as I've seen our performance improve over the last 90 to 120 days, there seems to be one factor that underpinned our improving performance on a wide range of metrics, employee retention within our hourly workforce. There appears to be a strong correlation between the improving retention we have had amongst our hourly workforce and the improvements we are seeing in throughput, quality, fill rate and many more. Well, that should not be surprising. What is surprising is how quickly that impact can show up. It takes time to build the skills of our team but relatively little time for those improved skills to pay off once they are in place. As we saw team members climb the ladder of the Freshpet Academy, we have seen our operating performance improve in turn. In this way, we believe that the investment we made in our talent and the Freshpet Academy is working. We are attracting more skilled team members, providing them with significant training opportunities and rewarding them with career and compensation gains. As a result, our retention has improved dramatically, and we've advanced a large number of our team members to higher levels within the Freshpet Academy. One year ago after more than 15 years of operation, we did not have any team members with the skills to be at Level 600, the highest level on our Freshpet Academy. One year later, we now have 14 team members at that level. Those highly skilled employees are capable of running virtually any piece of equipment in our operation and demonstrate a level of proficiency that has proven to result in higher quality, less waste and greater throughput. In Ennis, we already have four team members who have reached Level 400 due to the head start we gave them with one year of training in Pennsylvania. That is clearly contributing to our fast start-up in Ennis. We are going to continue to focus on enhancing the skills and retention of our hourly workforce and expect to build upon the early gains we have realized since launching the Freshpet Academy. Those gains are very reassuring and gratifying because we strongly believe that focusing on the people part of pets, people, planet will pay dividends. And in this case, it appears that it is happening. It is also creating sustainable value for our employees, their families and the communities in which they live. These employees now have greater skills that will provide value for their entire career and are earning much higher pay with the added benefits of equity ownership. Every day, I hear stories from production team members about how our investment in their careers is enabling them to enhance the lives of their families through homeownership, paying for kids education, paying off debts and more. We are very proud to have created an ecosystem where their efforts and our training enables so many enhancements to their lives while simultaneously creating a recipe for sustainable shareholder value creation. Now let me turn it over to Todd for a more detailed look at our results. Todd has been with us since December 1st, but he has been vigorously working to get up to speed and has taken him very little time to do that. He has been a great addition to our team and is evidence that the Freshpet opportunity can attract first-rate talent. And if you prefer this early morning earnings call over our late afternoon and evening marathons, you can thank Todd for that, too. Todd?
Todd Cunfer: Thank you, Billy. And good morning, everyone. Let me start by telling you how excited I am to join the Freshpet team. I've been here for three months, and I'm even more convinced than ever that the growth opportunity is very real and that this will become one of the greatest growth stories in CPG We will truly transform pet food for the better and create an iconic brand that generates robust profits and has enduring value, but we clearly have some work in front of us to reach our full potential. I have been focused on a few critical priorities in my first 90 days, including the fresh future or long-term plan we presented last week at CAGNY. We believe that plan provides a solid road map to meaningful profitability beginning with solid margin gains in 2023. I clearly believe that we can achieve the goals we have laid out and we are hard at work on the efforts needed to deliver them. As a new CFO, you always wonder what you will find when you walk in the door at your next opportunity. Fortunately, the Freshpet team gave me some strong results to report in my first call. As Billy indicated, we comfortably exceeded our guidance on both net sales and adjusted EBITDA. Let me break it down a bit further. Net sales came in at $165.5 million, up 43% versus a year ago. This was the result of Nielsen Mega Channel consumption growth of 33% versus a year ago. The completion of the trade inventory refill we have been working on for most of the past year and a favorable year-on-year comparison. By the end of the year, we believe that we have largely completed the trade inventory refill as our fill rates were consistently running in the mid-90s, and our in-stock conditions at retail were fairly healthy. For FY '22, we recorded 40% net sales growth with 37% Nielsen Mega Channel consumption growth and the balance coming from the trade inventory refill that we completed in the year. Price increases averaged 15% for the year and contributed to that growth, but did drive some amount of unit volume erosion. So the entire 15% was not additive to our growth rate. We finished the year with household penetration gains using numerator data of 16%. Regarding adjusted gross margin, we continued to experience significant plant start-up expenses in our Ennis Kitchen in the fourth quarter in the amount of $8 million, but this spend was a bit lighter than we had planned due to - due to a smoother start-up in Ennis. Adjusted gross margin was 33% for the quarter, but excluding these, the start-up expenses, our adjusted gross margin would have been 480 basis points better. For the year, adjusted gross margin came in at 36%. Plant start-up expenses in the year were around $26 million and depressed [ph] adjusted gross margin by 440 basis points. Adjusted EBITDA was $18.8 million in Q4 and $20.1 million for the year. Q4's results benefited from better-than-projected net sales, improvements in quality and logistics cost and lower media spend versus a year ago, which I'll note was planned. We ended the year with meeting investments at 10.5% of net sales, which on a dollar basis, increased 36% versus a year ago, nearly matching our consumption growth. Logistics costs were 9.4% of net sales in the fourth quarter, down significantly from 12.2% in Q3, due to higher fill rates and efforts to unclog the supply chain. This improvement in logistics costs brought the total logistics as a percent of net sales for the year down to 10.7% from 11.2% in the year ago period, but well above the 8% we experienced in the years prior to the pandemic and remains a significant opportunity that we expect to begin to realize in 2023. Capital spending for the year came in below the most recent expectations at $230 million, largely due to timing on some sizable expenses in Ennis related to completion of the first production building, the chicken processing facility and the early stages of the construction of Phase 2. This is also evidence of renewed cost discipline by our reorganized engineering team and better alignment across the organization on priorities. I want to be clear that this reduction in spending does not compromise our ability to grow at rapid rates. We have ample installed capacity for the 25% compound growth rate that we outlined in our 2027 fresh future plan. As Billy said, we feel we are well positioned heading into 2023, but we also know that we need to demonstrate marked improvement and profitability now that Ennis is operating. Our pricing has caught up to our costs, and we have stabilized operations in both production and the supply chain. Turning to our guidance for 2023. You will notice a change in the form of our guidance versus previous years. This reflects our renewed focus on improving margins as the most critical driver of success in 2023. Our goal is to exceed the adjusted EBITDA target, and we will prioritize margin expansion over incremental net sales. This does not reflect any less confidence in our ability to drive net sales in a year's path [ph] but rather our intention to drive margins as our most important priority this year. We believe our net sales growth rate is very robust, and we fully intend to deliver it. As such, we are guiding to approximately $750 million in net sales for 2023, up 26% versus a year ago. The net sales growth during the year will likely be less than the Nielsen measured consumption growth as we progress through the year because we have completed the trade inventory refill and we'll be lapping trade inventory refill in the year ago period. In terms of cadence, you should expect that Q1 2023 net sales will be comparable to Q4 2022 because we completed the trade inventory refill in Q4. However, the heavy marketing investment and new fridge placements will drive the underlying household penetration and consumption, which should both grow significantly from Q4 of 2022, but the absence of trade inventory refill in Q1 2023 will likely result in Q1 net sales similar to our Q4 2022. For the year, we expect to see a strong and steady build of consumption throughout the first half of the year, some flattening in the summer behind traditionally slower summer consumption patterns and then growth again in the fall. We expect that the cadence of our sequential net sales growth will mirror those trends. It is also important to remember that we will get the benefit of the 5% price increase with shipments in mid to late February but will also lap the larger February 2022 price increase of 12.5% and the smaller September 2022 price increase of 2.7%. Over the year, we expect pricing to average around 8.5% versus a year ago, which compares to the 15 points of pricing that we implemented last year. Our adjusted EBITDA is expected to be at least $50 million, an improvement of $30 million versus 2022. A meaningful part of that improvement will come from reduced start-up expenses. That improvement will be partially offset by the higher operating cost of having a large new facility that will not be operating at scale yet and some transitory expenses as we ramp up the Dallas D.C. We will also have higher operating expenses for our ERP system now that we can no longer capitalize the initial investment in the technology. In terms of the cadence of the adjusted EBITDA, it will be back loaded again this year as we will incur significant plant start-up expenses, heavier marketing expense and transitory logistics costs in both Q1 and Q2 and lower volumes against higher fixed overhead now that we have Ennis online and need to grow into its scale. As you consider those moving parts, Q1 adjusted EBITDA will be modestly negative due to these expenses and will be the low point for the year. Q2 will experience similar transitory logistics and start-up costs along with elevated marketing investments, so there will only be modest improvement in Q2. As we move out further in the year, we expect sequential improvement due to increasing scale, the elimination of start-up and transitory expenses and growing into our marketing investment. For context, we expect to generate only modest adjusted EBITDA in the first half of the year. From an adjusted gross margin perspective, our guidance implies a greater than 200 basis point increase for the full year 2023. Logistics costs, despite the transitory expenses, will improve by at least 100 basis points now that our fill rates are up, and we will have the Dallas DC operating. Advertising will grow at a rate slightly greater than net sales growth and support restored growth in household penetration. The remaining part of SG&A will grow slightly less than net sales growth as the previously mentioned higher ERP costs and lapping below-target bonus accruals will be a headwind to corporate expenses in FY '23. Our capital spending plan for 2023 is around $240 million and for 2024 is around $210 million. This will support the installation of enough capacity to meet $1.1 billion in demand in 2024 and put us on track for enough capacity to meet up to $1.4 billion in demand in 2025. You will note that the combination of a 2022 and '23 capital spending is $50 million less than we projected in November. This is largely due to the timing of the Ennis Phase 2 capacity and a decision to split that project into two pieces to allow us to ramp up utilization of the first phase of Ennis and also provide more time to qualify new manufacturing technologies that could be significantly more efficient than our current technology. We believe we have adequate resources to fully fund this plan from our balance sheet, line of credit and from cash generated by operations. However, we do expect to refinance our line of credit this year to better match our expected growth in capital spending. In closing, we are very bullish about the prospects for Freshpet. We have significant momentum on both the top line and in our operations. We have adequate capacity to support strong growth. Our customers are making significant investments of shelf space to support the growing demand, and our marketing and innovation programs are hitting on all cylinders. Our operations teams are performing well and with a renewed focus on delivering excellence in quality, logistics and manufacturing efficiency. We are aware of the challenging economic backdrop and will constantly monitor any impact the changing conditions it may have on our business in order to position ourselves for the best long-term return for our investors. In short, I am glad that I'm here, and I think we have a very bright future. That concludes our overview. We will now be glad to take your questions. And as a reminder, please focus your questions on the quarter and the company's operations. Operator?
Q - Peter Benedict: Hi. Good morning, guys. Thank you for taking the question – our questions. My first one, Bill, you had mentioned some recession unit impact that's kind of baked into your view for this year. I'm just wondering maybe you could expand on that, talk a little bit about your view on the macro and how you think that - or at least if you're seeing any of that yet or what you're seeing now and how you expect that to play out this year? That's my first question.
Billy Cyr: I'll just give you a top line on it, and Scott could probably provide a little bit more compounding on it. But we have - we're watching the economy. We're not seeing anything specific yet, but you can't be in a spot where you look at the macroeconomic factors that we're seeing, whether it's consumers starting to pull back on and trade down in a variety of other categories, not necessarily in our category and think that it's going to be smooth sailing for the balance of the year. So we wanted to be appropriately cautious. We don't have a specific number that I'm going to give you that would tell you, here's what we're worried about, which is - it's more of a generalized concern. I don't know, Scott, do you want to add that?
Scott Morris: Yes. I mean, look, Peter, I think what we're seeing is pet foods up a lot. It's more than many categories. I think consumers have to get a little bit more comfortable with that new bar that is at. The good news is the entire category has moved up. I think that some people have - there's been a little bit of trading around and moving back and forth. But it looks like what we're seeing that we really like that's an early, early indicator is we consistently seeing tons [ph] move up versus a year ago. And that provides kind of really good clarity. The piece that underneath all that, kind of underpinning it is these HIPPOs [ph] that we started introducing at ICR and I think it was talked about also at CAGNY, we're seeing those super heavy, heavy or those HIPPOs continue to build and grow, and that's going to be the core of our consumer base. And those people - their pet is their child and they really don't want to cut back on nutrition. And so I don't think we have any perfect clarity on it, but we just want to be kind of prudent and thoughtful about what we're going to see over the course of the year with gaining consumers. We - all the early signs look encouraging, but we also want to be kind of providing kind of guidance and thoughts for everybody that we don't have perfect clarity on it.
Peter Benedict: Well, no, that makes sense. Thank you for that. And then I guess, maybe for Todd, just curious if you can help us out with DNA here in the business. I mean, you've recast kind of the CapEx spend. I think this year, you're about $35 million DNA, a little less than 6% of sales. Just curious if you can give us a benchmark for '23. And then maybe as we think about it longer term, where it kind of settles out in your 5 year plan, that would be helpful. Thank you.
Todd Cunfer: Yes. So I'd say for '23, we'll be in the low $40 million. We don't have a precise number. It depends really the timing of some - one of these - some of the equipment gets installed, so that number is going to move around. Quite honestly, I don't have a '27 number for DNA. We'll work on that over time. But at this point, I do not have a number 5 years out.
Peter Benedict: Okay, all right. Thank you very much. Good luck.
Todd Cunfer: Thanks.
Operator: Thank you. Our next question comes from the line of Anoori Naughton with JPMorgan. Please proceed with your question.
Anoori Naughton: Hi, good morning.
Billy Cyr: Morning.
Anoori Naughton: Morning. Billy, you have Scott have long talked about the strong relation between media spending and sales growth. And then this year, you again are setting close to 12% of sales for 26% sales growth. But over time, for that percentage to fall and sales to continue to grow at a similar clip. The period, if you've seen a changed lately in that historical relationship that helped to inform the media leverage you are expecting again over time. Or any additional color on how you got comfortable with that 9% longer-term target? Thank you.
Billy Cyr: I'll give a thought and Scott can add to it. We've seen a little bit of an erosion last year on the media effectiveness, but we attributed most of that to the out of stocks that we were seeing. So consumers are seeing the ad, but they couldn't find the product. Then as you got later in the year, as you know, we were basically off there in the fourth quarter. So your ability to track the two in concert was eliminated. But over a long period of time, the correlation has remained very, very strong, and we expect it to continue to remain strong. With all the pricing that we've had to take, you can also see periods behind every price increase where there is a debt. The consumers have a little bit of a shelf shock that they see the new higher prices. They kind of wait out the next purchase or two, and then they start coming back to their purchase behavior. So we have to be mindful of that. But overall, we continue to believe the advertiser is the right long-term driver. In terms of how we get comfortable with the 9%, recall, when we were running closer to 12, we were running growth rates in the mid-30s and higher. When we were running closer to 9% of growth rates, we're in the mid to upper 20s. So there's actually a decent history of us demonstrating the kind of long-term growth that we've seen at 9% of sales, and that's how we got comfortable with that number.
Scott Morris: Yes. So we really - we basically have planned this year to be slightly more conservative on the productivity of the advertising. We also know that as we add a lot more fridges, and we add good innovation, that helps with the productivity. So there's a bunch of these puts and takes that are going on. We've got pricing. Last year, we had - out of stock. This year, we've got a lot of fridges coming and we have really strong innovation. And that typically helps with the productivity of advertising. But we also know that the pricing coming in couldn't basically impact that. So there is a lot of puts and takes. Overall, I think to the key point of your question, we have not seen any significant change in the long term correlation in advertising, productivity and sales growth.
Anoori Naughton: Great. Thank you. That's really helpful. And as a follow-up, you're talking about some incremental innovation for the year. So if there's any color on what we can expect there the cadence of when we could potentially see some of these new items come to market? Any color you take if there would be great. Thank you.
Billy Cyr: Yes. So we actually shared a bit and I know we share a lot. We shared a bit at ICR. We talked about some products in our Vital line called Vital Benefits. We are expanding our home style 1product line, Spring and Sprout, which is kind of our plant-based proteins. We think there's opportunity there over time and also really a leadership positioning there. And then probably most significantly for us this year is what we're talking about from an e-commerce standpoint and expanding kind of our presence in e-commerce and are offering their kind of a product that we're coming with at the end of this very end of this quarter and the beginning of next quarter, you'll start to see that kind of come out to the market. And we think it will be - everything we've seen testing line it shows that it's a really kind of incremental and differentiated offering than what we have today. And we're kind of very enthusiastic and excited about that. It's going to be smaller this year, but we think long term, it can have a significant - be a significant contributor to the growth.
Anoori Naughton: Thank you, guys. Appreciate it.
Billy Cyr: Thanks, Anoori.
Operator: Thank you. Our next question comes from the line of Brian Holland with Cowen & Company. Please proceed with your question.
Brian Holland: Thanks. Good morning. If I could just tack on two Anoori's question about the media investment. Just thinking kind of near term here as we contemplate the volume bridge in 2023, which I think assumes about 18%. First things first, when we turn off the media spend and we turn back on the media spend, just help us think about the lag that you anticipate between actually being on air spending those dollars and seeing the consumer receptivity? And then the second part of the volume question would be, is there any way you can quantify or contextualize how you think about the contribution from accelerated distribution and, maybe to a lesser extent, innovation contribution over the next 12 months?
Billy Cyr: Well, let me take this in a couple of part or take that. So the first one is when you're at - so Q4, we really had no advertising whatsoever. And I think it was probably the most significant period where we didn't have anything for that long time, really almost anything for all of Q4. So I mean, the best analogy, Brian, is it's a little like a flywheel. And we have seen it in the past when we have less or very little in Q4, it takes four to six weeks at least to kind of start seeing that flywheel move and gain momentum. We're - now we saw a nice kind of pickup over the literally the past couple of weeks and pounds [ph] I think I mentioned that earlier. We like that. It's a great early indicator. It demonstrates that the advertising is directionally working. Obviously, we need to get some of the dynamics underneath that to work a lot harder and a lot better. I guess the second part of your question is in a typical year where we didn't have some of the pricing dynamics in place, we could probably give you a pretty clear kind of guidance or directional information on how the additional fridges and the innovation would help. I think because there are so many puts and takes, I don't think we have that perfect clarity right now, quite honestly. I think we've tried to budget it and it's reflected in our net sales guidance for the year. What we've tried to budget it that way, where we said these are the kind of those puts and takes altogether. And there have been lots and lots of work done around it. And we've put out a number that we feel good about. But - so I wish I could tell you exactly on the advertising. But I think we have to kind of wait and watch it play through. And I think it's going to be a period over the next kind of 60 to 90 days where we get the second price increase reflected as shelf where we'll start to kind of understand what that impact is. Typically, after that price increase, it's a shelf, you see a kind of a four week kind of flattening and then you kind of go back on to the kind of trajectory that you would like to be at and see for the year.
Brian Holland: Okay. Great, thanks. And then, Todd, if I could, both near-term and long-term thinking about the balance sheet. Just looking at the cadence that you put together for EBITDA. Just wondering any updates on credit agreement? Any risk of the covenant sort of in the near term? And do you have flexibility to adjust that as we think about that expiring, I think, around mid-year? And then secondly, $1.1 billion [ph] of CapEx, four times $50 million is $200 million of balance sheet capacity if you go up to four times. I know there's some cash on there as well. So just remind us, as we think beyond the next 12 months, do we have more flexibility on the CapEx plan, if needed? Or is the assumption that we would have to raise equity at some point. It's just you think you can get through the next 12 months without that?
Todd Cunfer: Yes. So no issue on the covenants in Q4. So we were fine. We'll watch it closely in the first two quarters of the year. As you pointed out, we're going to have limited EBITDA for the first half of the year. I am hoping by the time we have our next conference call, we'll have a little bit more clarity on where we are from a credit agreement perspective. We're working very hard on that right now. As I've said a couple of times, I don't - I am not going to be issuing straight equity here in '23. Could I do it in '24, '25? Yes, maybe if the market conditions are out there, and it seems like a wise thing to do, I would never take that off the table. But I'm confident we will get something done here by mid-year. And next time we're on the call, hopefully, that will be resolved.
Operator: Thank you. Our next question comes from the line of Rupesh Parikh with Oppenheimer. Please proceed with your question.
Rupesh Parikh: Good morning. And thanks for taking my question. So I also had a question on advertising. Just given a number of your competitors have stepped up advertising, I think there's also Super Bowl ad out there. I was just curious how you guys think about all that accelerated advertising, how that's impacting Freshpet?
Billy Cyr: Yes, there is definitely a lot of chatter in the market. And typically, it's interesting, we typically don't see quite as much in Q1, I think, historically, it feels like there is a lot going on this time of year. What we do know is we have extraordinary advertising that has year after year after year, been able to produce the results that we need. I do think that there's a lot of - even if you look at some of the advertising out there, including the Super Bowl ad, I think it creates incredible awareness around the Freshpet food category. I think that's really, really good for us. I think that as - if you're - one of the challenges we continue to have today and will for the foreseeable future is people may know about it, but they don't know why it's interest-- pet food is interesting. I think having the leadership position we have across the products that we have, the brands we have, the distribution that we have and I would say the portfolio of products, the wide portfolio of products and price points that we have, I think we're really, really well positioned to be a very, very clear leader for the very, very long term. So as there's more advertising in the category, I think it brings awareness, I think it brings visibility, I think it can be helpful for us, and we do know that our advertising delivers very, very well.
Rupesh Parikh: Great. And then maybe one follow-up question for Todd. Just on working capital. Just curious if you guys are now past the ERP issues and then if you see any working capital opportunities this year?
Todd Cunfer: Yes. So we - I would say we did not end the year in a perfect spot but a much better place than we were at the end of Q3. So I mean a lot of improvement. I think we will continue to improve a bit in '24 and that working capital as a percent of net sales will come down a bit. So we're definitely behind the worst and in a decent spot and still a little bit of an improvement to come this year.
Rupesh Parikh: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Corey Grady with Jefferies. Please proceed with your question.
Corey Grady: Hi. Thanks for taking my question. First, I wanted to ask about pricing. Just on your outlook for 8.5% for the year. Does that include any like of the typical mix of in the portfolio that you guys see every year? Or in a recessionary environment, would you expect that dynamic to pause?
Billy Cyr: That's based on - just based on list price changes, that doesn't assume any mix change.
Scott Morris: Yes. We usually see a couple of points of positive contribution from mix. And it's usually kind of 3% to up to 5%. When I see it pause, I don't think so if I'm kind of - maybe not on the high end, but I would think that we'd definitely be into that range from a mix standpoint. And the reason being, if you look at the innovation and the portfolio - innovation in the portfolio that we have and what we naturally see consumer is kind of migrating to some of the - the better products that are now more available than they've been, like our fresher [ph] in the kitchen, for example, I think that we could see that dynamic again even this year. Because, again, it goes back to these high - these HIPPOs, these high-profit pet-owning households for us are very heavy households. I think they're going to exhibit that similar type behavior. Now it may not be in Q1. But I think over the course of the year, I think we're going to see that dynamic.
Billy Cyr: Yes. I would just emphasize in Scott's answer that the availability of our Fresh [ph] from the Kitchen product this year, which is significantly better than where it was last year will give us a benefit. We saw some of that in Q4. But as we lap last year's Q1 and Q2, we should see some of that benefit of migration up to Fresh from the Kitchen.
Corey Grady: That's really helpful. Thank you. And then my second question, I wanted to ask about just the new HIPPO demographic that you're targeting. I mean, what are you assuming in terms of CAC going forward relative to historical as you target these customers? Maybe you could take the opportunity to talk about acquiring higher-value customers with a lower level of media spend? Thanks.
Scott Morris: Yes. So if you think about it today, I don't think we're going to adjust our CAC specific to HIPPOs. I mean, we probably have some internal metrics, but it's probably not something that we're going to talk about more broadly. We probably keep our CAC in a similar range and top total households over time. And if we do change it, I don't think we're quite ready to kind of share - you just get into sharing externally that level of detail and complexity, quite honestly, in the model. So I would keep CAC in kind of the traditional range. Now again, CAC is not a monthly or - and really, in reality, not even necessarily a quarter typically what we see over the course of the year is where you're going to get the most accurate reads on it. And I would say - I would really emphasize that because of all the dynamics that are going on in the market right now. Hopefully, that gives you what you need.
Corey Grady: It does. Thank you.
Operator: Thank you. Our next question comes from the line of Michael Lavery with Piper Sandler. Please proceed with your question.
Michael Lavery: Thank you, excuse me, thank you. Good morning.
Billy Cyr: Morning.
Michael Lavery: Just wanted to understand some of the input costs and just how to think about say, chicken for example, specifically, it's prices have come in a little bit. How fixed is that for you? Is that a benefit? Should we be thinking about it that way? And when the new chicken processing plant comes online with your partner in Ennis, does that change how any of the pricing dynamics for your sourcing?
Billy Cyr: Yes. So the chicken pricing, we lock the bulk of our chicken for an annual - on an annual basis, that was done in December and it was assumed in the pricing that we put in the market for February. It was slightly below where it had been a year ago, but not the magnitude that people may have seen as they watch chicken overall, the broader chicken market ramp up last year and then drop back down the kind of chicken that we buy didn't go up as much and didn't go down as much. So there's really not a lot of leverage on the chicken pricing for the balance of this year. Your comment about the Ennis chicken processing facility, when that facility begins and it begins operating at scale, there is an opportunity for a benefit in lower cost chicken. First, because it's sourced in a different part of the country and chicken pricing can be regional. And the second is because of obviously the efficiency of being an on-site facility. So we're very encouraged and optimistic, and that's part of the rationale for having built the chicken processing facility, but we're not ready yet to commit to a forecast what that magnitude of that improvement will be.
Michael Lavery: Okay. That's helpful. And I just wanted to follow up on the comment you made about potential technology improvements that sounds like a - how you think about one of the upcoming lines? And I guess any more color you could add to that? And then at least specifically, would that be sort of a different set of equipment? Or is it something that could be applied retroactively back to some of the other lines as well? Or how could that play out?
Billy Cyr: Yes. So I would say we're constantly working to improve the technology to make Freshpet. You should expect we're looking for ways to deliver higher quality, higher yield, more capital efficient, taking up less space, and we have some pretty good leads that are taking us down that path. And if they do pan out, we would certainly try to retrofit anything back into the original facilities as much as possible. But at this point, we're just leaving the option open. Our comments were really focused on leaving the options open because we do have some...
Michael Lavery: Thanks so much.
Operator: Thank you. Our next question comes from the line of Jason English with Goldman Sachs. Please proceed with your question.
Jason English: Hey, guys. Thanks for slotting me in. Two quick questions - well, one quick question and one as a quick question. First, a quick one, and I apologize if you provided this, can you give us the details of how you plan to fund the CapEx this year?
Todd Cunfer: Yes. So we ended the year with about $130 million of cash. We will generate some cash flow this year. So that's a good thing probably in the range of $30 million or $35 million of cash flow generated from operations. We are going to redo the credit facility in some shape or form. So we will leverage some of that as well. So those are the basic building blocks. I'm very confident we'll be able to get that done.
Jason English: Okay. Okay. And sticking on the theme of cash flow. You gave us a lot of incremental color at CAGNY last week. And I want to zoom in a bit on 2027, which seems like it's a bit more reflective of a bit more of a steady state business. The CapEx numbers you're projecting out there is still pretty lofty, close to 9% of sales, and you mentioned a 4-turn leverage target, which is mean a 6% loan borrowing rate equates to almost 5% of sales in terms of interest expense. This leaves you with free cash flow of around 4.5% of sales based on that disclosure. And that's assuming a zero tax rate. If we actually normalize the tax rate, you end up with a very, very low single digit free cash flow out in 2027. I know it's going to take time to bleed out those NOLs, but I still think it's a reasonable way to look at it. I mean, is that what we're looking at? Is the goal here 5 years out, like we're still were just barely generating free cash flow given the capital intensity of this business? And at what point in the future do you think - will we ever actually get to like a meaningful inflection where there's better cash generation as a percentage of sales?
Todd Cunfer: Yes. So look, as I said at CAGNY, our expectation is we'll be free cash flow positive in '26 and then it's going to incrementally improve over time. Our expectations are, we try to lay out some targets from a margin perspective that we thought were very attainable. We talked about some - where we thought the upsides were longer term on margins. And we feel like those could come into play over the next several years as well as we just talked about some new technologies we are working on to reduce CapEx over time and to improve profitability. So look - yes, is that free cash flow outlook over the - in the next several years look robust? Not a lot, but we have some clear opportunities past that point to dramatically increase free cash flow.
Jason English: Okay, okay. Thank you. I'll pass on.
Todd Cunfer: Thanks, Jason.
Operator: Thank you. Our next question comes from the line of Ben Bienvenu with Stephens Inc. Please proceed with your question.
Jim Salera: Hey, guys. It's Jim Salera on for Ben. Thanks for taking our question. Todd, I guess, first a follow-up on Jason's question there on kind of some of the cash flow timing. Can you give us an idea, if the first half of the year is essentially going to be very modest EBITDA it can be all back half weighted. Can you give us an idea for the - how you guys will draw on the credit facility and what that will look like kind of going into the back half of the year and maybe expected interest rate?
Todd Cunfer: Yes. So look, we're - again, we're in the middle of redoing that credit agreement. So I'm not going to comment on how that's exactly then get drawn and what the terms are, so more to come on that. You -- my job is to get that done, and I'm very, very confident that we'll be in good shape. There is a couple of different alternatives we have out there, again, more to come on it. Again, we ended with some significant cash at year-end. So that will keep us going for a while. And we're going to watch every penny of CapEx as the year goes on. So I am fully aware of the cash needs of this business in the near term, and I'm going to go get it solved.
Jim Salera: Okay. Great. And then maybe one for you got Scott. You called out stronger trends among the kind of heavy - super heavy households versus kind of a broader household demographics. Is that driven by just in-stocks finally being at a consistent level? Was there something else at work there that is having the results with the super heavy and heavy households be kind of end of the broader portfolio?
Scott Morris: I don't think it has to do with in-stocks. I think those are the people that have sought us out over time and actually could be willing to either switch or even change stores. We have a pretty long-term kind of picture of these people. We've had really good consistent growth with them over time. And I think what we're recognizing as we mature is that we want to make sure that we want to focus on those more than ever. There - over 80% of our total dollars, they're the people that are very, very dedicated to this idea. There's a lot more of them out there, and we want to base our business even more so focusing on those folks. So I don't think I have to do with more recent in-stocks. But I think it's - I guess, it could help. But I don't think that's really - that has not been the dynamic we've seen historically. We have like a 5 year trend on it.
Jim Salera: Okay. Thanks, guys. I'll pass it on.
Scott Morris: Thanks.
Operator: Thank you. Our next question comes from the line of Bill Chappell with Truist Securities. Please proceed with your question.
Bill Chappell: Thanks, good morning.
Billy Cyr: Morning.
Bill Chappell: Just want to talk a little bit about kind of the, what I would say, soft landing in the second half. I mean you will have lapped most of your pricing advertising will obviously come back a little bit as you move to the second half. And so just trying to understand how volumes pick back up to make up? I mean I think you said you're going to have you had 15 points of price benefit last year, you got 9 this year in the first half. So is it just a case of further in-stocks and added bridges versus supply constraints last year? And does that give you enough momentum so that you can - as we move into '24, still have kind of this high or in the 20% plus type growth? Or are there other things that I need to be thinking about?
Billy Cyr: Yes. Bill, I would say that you should view this year as a year where momentum builds. So we start with all the pricing that we've taken, including the most recent price increase, having impacts on unit volume, pound volume. And the advertising investment that we've made, which is front-loaded again, starting to jump start that engine getting to growth. The fridges are going to come on, they're going to come on at a fairly heavy rate in the first half of the year, and we'll amplify the value of that advertising. The in-stock positions we start with being the year are pretty good. So I think it's - the advertising is falling on very fertile ground. So we expect to see continued build as you move towards the back half of the year. And we'd expect to see household penetration gains in the back half of the year that are much more consistent with our long-term trends than what you're seeing. We will have, from a net sales perspective, we'll have to lap the trade inventory refill that we did in the fourth quarter. So you won't necessarily see it all in the net sales, but you will see it in the consumption. I don't know if that answers the question now, but that's the way we see it unfolding for this year.
Bill Chappell: Got it. No, we'll stay tuned. The second question just on the competitive landscape. There have been some commentary from a competitor that - there was - I'm not quoting, lots of fridge availability at the retail side for other competitors come in. And if that's the case, do you - I guess, one, do you have a lot more opportunity to add fridges this year? And two, if that's not the case, can you maybe help us understand the dynamics there? Thanks.
Billy Cyr: Yes, Bill, as I said at CAGNY, I found that comment is odd [ph] as you did. The reality is we're in 60% ACV today. If this was an easy thing to do, we have the highest productivity per linear foot or cubic foot at retail in the pet category, and we deliver the best margins. And this was an easy thing for the retailer to do. We'd be an 85% ACV today. So I found it really odd that we heard comment, but no, we'll see what their plan is. As we all know, Walmart has invested in fridges, not many other people have. So I'm not sure what they're thinking.
Bill Chappell: Thanks.
Operator: Thank you. Our next question comes from the line of Mark Astrachan with Stifel. Please proceed with your question.
Mark Astrachan: Yes. Thanks and good morning, everyone. I wanted to ask about a couple of things related to volume. So first, you talked about media spend being back on air year-to-date versus 4Q. Could you talk a bit about how volumes have progressed relative to expectations? If I look at our scanner data, volume trends have been largely flat with 4Q. So how would you expect that to progress relative to the advertising spend? And related to that or sort of related to that 13% or so in the fridge space by my calculation, how do we think about the productivity of that adding to the sales growth, layering on your volume assumptions and layering on the points of price that you talked about? Thanks.
Todd Cunfer: Mark, so I'm a little obsessive with it, especially during this type of period. I look at the pounds weekly. And I'm a prior period guy, right? I'm all about - when I look at the business, I could care less about a year ago is interesting, but it's all about prior period and are we making progress. And so I've been watching pounds weekly. Every single week over the past four or five weeks - actually almost six weeks, we've made progress in pounds versus if you take a look at Q4, and we should reconcile potentially on the numbers here maybe offline. But when you look at Q4, we're up about 6% versus Q4, which is right in line with where we expect it to be from - on a pound basis year-to-date. Would I like to be higher? Absolutely. And we're kind of in that double-digit range, low double digit, but we're in the double-digit range on pounds. So we're kind of tracking with exactly how we would expect. So then the second part of your question was around fridges. So fridges unquestionably availability. But at the end of the day, we're selling dollars and pounds and it helps with the advertising productivity, et cetera, et cetera. Now when fridges come on, it's great that they come on. But - and again, I'm looking for prior period, we haven't added a whole lot quite yet. We've added some kind of quarter-to-date. The biggest quarter is going to be probably next quarter and from a fridge standpoint, we'll add a lot during that period, and it will help. But when a fridge first goes in a couple of weeks, it's not doing a whole lot. It takes a few months. I think the number we quote is within six months is doing about 80% of what that channel typically ends up doing if we add a totally new fridge. We are adding a lot of second fridges here. They take a little bit longer in order to create the level of productivity that we would see on a first fridge, for example. So we know that those definitely add. And we have - we've done a bottoms-up view on what the fridges add over the course of the year with the advertising ads and how kind of - how it all works together. And that's kind of how we've gotten to the guidance that we've all gotten comfortable with. Does that give you enough?.
Scott Morris: Just let me add one more point, Mark, because not everybody sees all the data that we see. When we add pet in, pet, and I mean in much of last year was a very significant drag on the published Nielsen's data, but on our data, not the published data. But it has had a rebirth lately, the last four weeks, we're up 20% versus a year ago. So we're starting to see renewed growth in the pet channel that is helping pull the total business along. So I would just add that piece to it.
Mark Astrachan: That's definitely helpful, Scott, to answer your question. And just related to that, you called that out in the presentation, right, the pet specialty piece. So would the expectation be that, that continues to build relative to the number in the fourth quarter? And what's driving it? Is the comparison coming off of the big base from a couple of years ago? What's going on within that channel?
Scott Morris: We've had - we've continually added fridges in the channel, which is helpful. Quite honestly, ne of the biggest ones is it has been the most disrupted supply chain we probably had. I mean, I - it's just the facts around it. So I think that as we're having - and the other thing is if you miss a shopping trip in pet, you're not coming back there next week. You missed a shopping trip in grocery, you may have a chance to get a consumer back. It's - the average shopping trip for pet specialty is like 30-something days where a grocery store could be twice a week, right? So it's just - it creates a really tough dynamic to recover from a sales standpoint. Now - and we were just not in a good spot for a very, very long time, and it actually has taken a little bit longer to recover kind of getting in-stock and pet. So I think that, that's been a part of the dynamic. Now I think overall, again, I go back to the advertising that's on IR is we know it's incredibly impactful with some of the best advertising we've ever had. And I think that's going to drive across all channels over the course of the year.
Mark Astrachan: Got it. Thank you.
Operator: Thank you. Our next question comes from the line of Cody Ross with UBS. Please proceed with your question.
Cody Ross: Good morning. Thank you for taking our questions. I just had two quick clarification questions and then one longer-term picture question. First, on the mix that you talked about, 3 to 5 points you usually get a benefit. Is that in your guidance for this year here for sales to grow 26%?
Todd Cunfer: Yes.
Cody Ross: Okay. And then secondly, on the EBITDA, you guided 1Q EBITDA to be negative with an improvement in 2Q and essentially all of the EBITDA for '23 to be generated in the second half. Does this mean that your cash burn will be greater in the first half as well?
Todd Cunfer: Yes. Yes, it will be greater in the first half than the second half. That is a correct statement.
Cody Ross: Okay. And then just more longer term, you consistently delivered against your top line goals each year as new competitors have come and gone. Do you think a more formidable competitor in the category would help accelerate growth in the category? Or would it impede your ability to grow and reach your goals? Thank you.
Todd Cunfer: And what we've seen in other categories is the arrival of another competitor if they do a good job and they spend money obviously increases the size of the total category. And that's viewed as a good thing. Most leading brands if they continue to execute well, end up with a smaller share of a larger market, but a larger business in total. So we'd have to see what the quality execution has been. What you can see from the competitors who come at us in the past, is they really haven't been additive to the category, and they've ultimately ended up leaving because they just didn't have the velocity to justify the space they were taking up and certainly didn't produce the economics that they were expecting. So it really depends on what the quality of the execution is. But I would suggest that this is a category that's going to grow very fast and more investment is going to make it even bigger, faster.
Cody Ross: Great. Thanks, Todd. I'll pass it on.
Operator: Thank you. Our next question comes from the line of Robert Moskow with Credit Suisse. Please proceed with your question.
Robert Moskow: I believe that there are more questions, but maybe just a couple of quick ones. In your 2027 number that Jason was talking about, I think you have a $200 million CapEx number in there. Is that considered run rate CapEx? I guess it isn't. Is it like how much of that is still growth and do you think by 2028, it's a lower CapEx number? And maybe you could help us a little bit on is any of it related to fridges, I would imagine that would - that type of spending would continue?
Todd Cunfer: Yes. So a couple of thoughts on it. It does include fridges. I would assume, over time, the rate of growth in fridges ultimately will slow down as we get the ACV and multiple fridges in many, many retail outlets across the country. So we will invest heavily in that area over the next couple of years, but that will slow down over time. CapEx, I would say as you go 5 years out, will be dependent on a couple of things. One is, what is our expectation for a rate of growth when we get into that '26, '27 time frame, we're still growing 25% or do we see that coming down a bit? And the other variable is do technologies, as we've been discussing. So those are the big variables. Could it be as high as $200 million in our run rate? It could, if we're growing at an extraordinary rate, but I think that's TBD at this point.
Robert Moskow: Then I guess the question is, is it possible to break out the 200 in terms of maintenance versus growth?
Todd Cunfer: So I mean the fridges we tend to spend right now about $25 million to $30 million a year. And then we have nominal maintenance on the plant. So the vast majority of what we're spending on capital today, I would say, 75%, 80% of it is growth in new capacity.
Robert Moskow: All right. That' what I needed. Thank you.
Todd Cunfer: Thanks, Rob.
Operator: Thank you. Our final question this morning comes from the line of Jon Andersen with William Blair. Please proceed with your question.
Jon Andersen: Hi. Thanks for squeezing me in. Two quick ones. I wanted to ask about Ennis. If you can talk a little bit about the ramp of Line 1, the rolls line versus your internal plan productivity, et cetera? And then does that signal, depending on how that's going, and we believe it's gone well, right? Does that signal well for Line 2? Or is the Line 2 effort really unique, different, distinct given that it will be focused on bags? What are some of the key milestones we should be looking for or you're looking for around the development of that second line?
Billy Cyr: Yes, Jon, the rolls line is going well. It's ramping up at a pace that is in line with our expectations, maybe slightly ahead of our expectations at this point, producing the full range of SKUs and in reasonable quantities of volume. They are separate efforts, although if you can avoid having a distraction from the first line to focus your energy on the second line, it certainly helps you get the second line up and running more quickly and more reliably. I can tell you, as I said on the comments that the second line is doing well. We're well along in the commissioning part of that process, and we'd expect to bring that line up fairly quickly. To recognize though that - that line has to produce a fairly wide range of SKUs, everything from our roasted meals, to our multi-protein, to our small dog, to our fresh from the kitchen products. So it will take a little bit longer to qualify every one of the items on that line. So we've out looked is that we would have a salable product at the end of this quarter, beginning of next quarter, we're well on track with that. We said we would have the full line of qualified by about the end of second quarter. We feel like we're on track for that. And once all that happens, then that facility in Ennis will be producing the vast majority of our line-up and we'll be able to get all the freight efficiencies out of the Dallas DC.
Jon Andersen: Okay, thanks. And then you've highlighted e-commerce as a kind of an innovation, big innovation opportunity. I guess what I'm curious is, what's different about this DTC approach versus what your customers can do today, which is click and collect or procure Freshpet through last mile delivery. How is this different and value-added incremental relative to the kind of the current go-to-market approach? Thank you.
Billy Cyr: Hey, Jon. So yes, it's actually a product that will be much more specific or custom to a specific consumer and dogs needs. So it's - that's - it will be - somewhat could find some of the attributes within our line, but this will be very, very specific and kind of almost a customized solutions, custom feeding plans for that specific dog and their attributes. So activity level, body type, any kind of elements, issues they may have sensitivities they may have, et cetera. So to be very custom and it will be incredibly convenient for consumers also. So we do think it's definitely incremental. And it's seen as incremental by consumers and all the testing that we've done.
Jon Andersen: And is this something that the consumer will interact with through your website in order to get that customization?
Billy Cyr: No. We'll be working with our customers to do to execute this. We think that this is a - we think it's the best and smartest, cleanest, most cost-effective and environmentally friendly way in order to execute the launch.
Jon Andersen: Thanks so much.
Operator: Thank you. Ladies and gentlemen, that concludes our question-and-answer session. I'll turn the floor back to Mr. Cyr for any final comments.
Billy Cyr: Great. Thank you, everyone, for your interest. And I would leave you with one thought. According to the Nobel Prize winning author Orhan Pamuk, dogs do speak, but only to those who know how to listen to which I would add, if there are anything like my dog, they're asking for more Freshpet. Thanks, everyone. We appreciate your interest.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.